John D'Orazio: Well, good morning. I'm John D'Orazio, President and CEO of RGC Resources, Inc. Welcome, and thank you for joining us as we discuss RGC Resources Fourth Quarter 2019 Results. First, I would like to go over a few administrative items. [Operator Instructions]. After the presentation is completed, we will take questions. The link to today's presentation is available on the Investor & Financial Information page of our website at www.rgcresources.com. We begin the presentation with a quick reminder on forward-looking statements as shown on Slide 1. Moving on to Slide 2. Today, we plan to review key operational and financial highlights, our 2020 outlook and end with Q&A. As shown on Slide 3, the results for fiscal 2019 well exceeded the prior year as earnings per share increased 14% to $1.08. Our financial results will be discussed in more detail later in the presentation. As Slide 4 highlights, we invested $5.3 million in regulated utility in the fourth quarter, a 10% decrease compared to the same period last year. We spent approximately $3.4 million on infrastructure replacement, $0.8 million on customer growth and $1.1 million on other capital needs. The quarter-to-quarter change was primarily due to timing of several 2018 customer growth and system expansion projects, met an increase of more than $1.5 million in SAVE-eligible infrastructure renewal and replacements. As shown on Slide 5, our fiscal year capital spending decreased approximately $1.4 million from fiscal 2018, primarily related to several large system expansion projects that occurred during the second half of fiscal 2018. For Slide 6, we continue to experience steady customer growth. We added another 152 customers during the fourth quarter, bringing total customer additions in fiscal 2019 to 668, a 12% increase over 2018. As noted on Slide 7, total volumes for the fourth quarter 2019 increased approximately 7% compared to prior year. This was driven by a significant increase in the usage of our industrial customers, which increased approximately 8% compared to the same period in the prior year. Over on Slide 8. Despite 4% warmer weather, fiscal 2019 volumes remained flat compared to the prior year. Commercial industrial volumes followed the same trend as total volumes experienced a 1% growth compared to fiscal 2018. Now I'd like to introduce Paul Nester, Chief Financial Officer, to review our financial results.
Paul Nester: Thank you, John. For those of you following along via webcast, we are on Slide 9. We will begin by reviewing fourth quarter results. Operating income decreased to approximately $500,000 in 2019. In the fourth quarter, we continued accruing a rate refund reserve based on the most recent staff and hearing examiner's reports. Also, expenses were higher in the current year related to the timing of several operating and maintenance activities. In combination, these factors offset the effects of the rate increase during the quarter. Equity earnings in our Mountain Valley Pipeline investment increased over $980,000 due to continued construction. Interest expense increased due to increased borrowings related to the Mountain Valley Pipeline as well as the March long-term debt placement by Roanoke Gas. Income taxes increased $242,000 in 2019 as the final adjustments related to tax reform were calculated and trued up in the fourth quarter of 2018. Let's review our fiscal -- full year fiscal 2019 results. Operating income increased to approximately $11.6 million, primarily due to revenue lift from the rate case, offsetting higher depreciation and other increases in various operating and maintenance expenses. Equity earnings in the MVP investment increased from $939,000 to approximately $3 million related to the significant pipeline construction in 2019. Income taxes decreased in fiscal 2019 as the company transitioned to the 21% federal tax rate from a 2018 federal blended tax rate of 24.3%. Net income increased over $1.4 million or 19% compared to the prior fiscal year. John will now discuss our outlook for the remainder of 2020.
John D'Orazio: Thank you, Paul. Now let's review our capital expenditure projections on Slide 10. In fiscal 2020, we are planning to invest approximately $22 million in regulated utility with continued focus on infrastructure replacement and customer growth. This level of capital spending is consistent with 2019. In September 2019, the State Corporation Commission issued its final order approving the extension of Roanoke Gas' SAVE plan through September 2024. The final order included an improved SAVE rider that was put in place in October 2019 and will provide up to $1.1 million in revenue during fiscal 2020. As presented previously, the Roanoke Gas general rate case staff report was filed in June 2019. The company filed its rebuttal and a public hearing was held in August of 2019, and the hearing examiner's report was filed in November. And we anticipate a final order in early 2020. Continuing on Slide 11, we can report that the MVP is now approximately 90% complete compared to 40% at the beginning of the year. We invested approximately $4.3 million in the MVP project during the fourth quarter 2019 and approximately $20.7 million during the fiscal year. We anticipate investing an additional $16.3 million in fiscal 2020. And at this time, the pipeline is scheduled to go in service in late 2020. Now after taking all these factors into consideration, our fiscal 2020 earnings guidance is $1.13 to $1.17 per share. Finally, I want to share that I have announced my retirement as President and CEO, which will occur in early February 2020. The Board of Directors has appointed Paul Nester as President and CEO upon my retirement, and it has been an honor to serve in these roles. That concludes our prepared remarks. [Operator Instructions].
Q - Michael Gaugler: Congrats to you both. Guys, just one question. The C&I volume growth, John, you called out the industrial particularly as being strong. I'm wondering which industries are seeing the growth in the most in terms of the volumes?
John D'Orazio: It's two. It's steel manufacturing industry as well as we've got a large cement facility here that we've seen a pretty good increase in their volume this past year.
Paul Nester: Yes. They've had a little fuel switching, actually, Mike. They were primarily coal fired, and they are integrating more natural gas into their fuel mix, we believe.
Michael Gaugler: That's the cement manufacturer?
Paul Nester: Yes.
John D'Orazio: Does anybody else have any questions? All right. If there are not any more questions, this concludes our final earnings call for 2019. We look forward to speaking with you, again, in February 2020 with our Q1 results. Thank you, again, for joining us, and have a happy holiday season.